Operator: Good morning. My name is Theresa, I will be your operator conference facilitator today. At this time, I would like to welcome everyone to the Regis Corporation Fiscal 2014 First Quarter Earnings Conference Call. [Operator Instructions] There is a webcast presentation for the call today. If you would like to view the live webcast, please log on to the fiscal 2014 first quarter earnings results webcast link on regiscorp.com in the Investor Relations section of the website. If anyone has not received a copy of today's press release, please call Regis Corporation at (952) 806-2154, and a copy will be faxed to you immediately. If you wish to access the replay for this call, you may do so by dialing (800) 406-7325, using access code 4646057#. The replay will be available 60 minutes after the conclusion of today's call. I would like to remind everyone that to the extent the company's statements or comments this morning represent forward-looking statements. I refer to you to the risk factors and other cautionary factors in today's news release, as well as the company's SEC filings. Reconciliation to non-GAAP financial measures mentioned in the following presentation, as well as others, can be found on their website at www.regiscorp.com. With us today are Dan Hanrahan, Chief Executive Officer; and Steve Spiegel, Chief Financial Officer. After management has completed its review of the quarter, we will open the call for questions. [Operator Instructions] I would now like to turn the call over to Dan Hanrahan for his comments. Dan, you may begin.
Daniel J. Hanrahan: Thank you, Theresa, and good morning, everyone. Thank you for joining us. Joining me today are Steve Spiegel, our Executive Vice President and Chief Financial Officer; Eric Bakken, our Executive Vice President and Chief Administrative Officer; and Mark Fosland, our Senior Vice President of Finance. Our last call was about 2 months ago. At that time, we discussed 3 transformational initiatives we executed in the fourth quarter that negatively impacted our performance during the fourth quarter and to the date of our last call. Much of my focus today will be on the work we are doing to stabilize the impact of these initiatives. Afterwards I will turn the call over to Steve to review our first quarter financial results in greater detail. First I would like to remind everybody of where we have been and where we're headed. This fiscal year 2013 was our year of discovery and strategy. We worked with our best operators and identified practices that would transform Regis into a best-in-class operator; crafted our long-term vision, mission and strategies; formed new leadership; and invested behind strategic initiatives to position Regis for a longer term success, balancing our earnest need [ph] to improve with the ability of our organization to manage change. Fiscal year 2014 is our year of transition and execution, and our immediate focus is on realizing the benefits from these initiatives. As I said in our last call, it has been very challenging for our organization to adapt to change. Historically there was no infrastructure in place to ensure that change was effectively cascaded throughout our organization. Developing our employees and encouraging the right behaviors will help us to stabilize the business and progress strategically. This is a critical year in our transition and will provide the foundation that will lead to a functioning organization that is poised to deliver longer term sustainable results. I would like to remind you about the initiatives we executed upon during the end of our last fiscal year. We invested behind 3 initiatives that laid the foundation for us to execute on our key strategies and to transition to become a best-in-class operator. First we rolled out SuperSalon and salon workstations to our North American salons. Optimizing our use of SuperSalon will provide management with vastly improved measurement and transparency into our salons. Second we reorganized our field leadership. Our new structure enables localized management and decision making, improves geographic proximity of our field leaders to their salons, increases local market efficiency and incents profitable growth. Third we standardized retail plan-o-grams in order to optimize our retail performance and enable efficiencies throughout our supply chain. Each of these initiatives is transformational. Together they allow Regis to travel forward along a strategic continuum and represent a major step forward in executing our turnaround. Let's now turn our attention to our progress on these key initiatives. The initial rollout of SuperSalon and salon workstations to our North American salons is essentially complete. Our team members are working to become more efficient and effective in using this new technology. We are making good progress resolving our technical issues, and the number of help desk tickets has fallen significantly, as you can see on the slide. Our stylists are becoming more familiar with the system, and we are moving towards optimizing our knowledge and use of the system. Since our last call, we've received a number of questions about the types of data we are now able to capture with SuperSalon and how and when we can expect to benefit from this information. As such, I thought I would provide all of you with a better understanding of how we view the rollout and level set everyone's expectations. Our initial goal was to get SuperSalon installed in all of our North American salons, which we did with exceptional speed in the previous quarter. Once installed, we knew we would face and spend much of the current quarter addressing technical issues, which the previous line in help desk call volumes demonstrated. We continue to focus on ensuring our stylists are well trained to optimize the use of SuperSalon and associated operating processes. From intelligence we are gathering from our help desk calls, we are updating training modules to address topics that are most challenging for our stylists. Following training, we plan to focus on encouraging the right behaviors to optimize accuracy and consistency of data capture. After these steps have been taken, we will capitalize on the data capture capabilities of having a standardized point-of-sale platform throughout North America and further develop our management reporting tools. It will take us some time, but when the new POS system is effectively integrated into our operating model, they will provide salons, stylists and guest metrics that allow us to make informed decisions to improve profitability, tailor our loyalty and marketing programs and to significantly increase guest retention. We are on the right path towards our ultimate objective. Last quarter, we standardized retail plan-o-grams throughout North America. This involves transitioning from over 1,300 to fewer than 50 plan-o-grams in approximately 7,000 salons, eliminating about 4,500 SKUs from our retail product assortment. This initiative was designed to make it easier for guests to shop and stylists to sell retail products, by improving salon appearance, eliminating unnecessary clutter, reducing inventory management times throughout our supply chain and enabling distribution efficiencies. In anticipation of this initiative, we ran the most significant clearance sale in the company's history in the previous quarter and anticipated that could pull forward some of our retail sales. As we began to see our retail trends deteriorate, we wanted to quickly validate assortment assumptions. To that end, our marketing and merchandising teams collaborated on extensive analysis to validate the efficacy of our resets and gain better insight into consumer buying behavior. The results of this were -- provided us with useful insights into guest behavior, which I won't disclose for competitive reasons. And recently applied, they have already shown an improvement in our retail sales. While our retail business is not yet where we want it, we are headed in the right direction. Our third initiative was our field reorganization. On this front, when I spoke with you last quarter, we had 10 of our 11 regional VPs in place. I'm pleased to report that all 11 roles are now filled with quality leaders who have the experience, talent and of tireless work ethic to help lead our turnaround. Additionally we have continued to work hard to build out our field team, and we now have over 97% of those positions filled. As a reminder, we made a decision to restructure our field organization based on learnings, working with best-in-class operators. We leveraged these learnings by reducing layers of field leadership, localizing decision making, reducing span of control and mentoring on the salon floor, among making other key changes. Now that our organization is in place, we are focused on driving execution and delivering a great guest experience. As I said earlier, and as you can see from our recent performance, our greatest challenge is adapting to change. Like never before, we are focused on training and developing the capabilities over our entire organization. Through our field reorganization, we have moved from a branded management structure to a regional structure, putting in place 11 highly competent regional VPs to enable more localized management decision making. It's critical we develop our employees and instill good behaviors. We are focused on improving execution at the salon level, and a process is run [ph] in place that focuses our field leaders, salon managers and stylists on growing guest traffic. Training on this process is ongoing, emphasizing development of our associates and instilling effective guest experience behaviors through a weekly goal-setting process that cascades, from me all the way down to individual stylists. Each week, our field leadership teams ask their direct reports to make just 1 or 2 commitments that will drive improvement in the guest experience and resulting guest traffic. These commitments are made at the salon level to their field leaders, who in turn make commitments up to me. In response to those commitments, as leaders, we ask what we can do to facilitate or clear the path for them to be successful in fulfilling their commitments. The following week, we review who met their commitments, and new commitments are established for the next week. We use an intranet site to monitor progress on commitment so that everyone can see who is and is not delivering. This is the first time in our history that we have a common business language from our stylist to me. Our stylists are focused on actions they believe will help them drive their own business, and the entire field is focused on accomplishing their goals. This is a great way to build a team atmosphere within each salon and competitive spirit throughout our field organization. It also makes visible our top performers, engages our employees and holds all of us accountable for delivering against commitment. While we get into full gear, it will also enable sharing of winning practices across regions, districts, salons and stylists. While our training on the management process is ongoing, we are seeing pockets of improvement, which provide me with confidence the operational changes we put in place will position Regis to improve over time. Anecdotally I was excited to visit several salons the last few weeks that are following this process, executing flawlessly and already posting revenue growth. Additionally as you can see by this slide, 2 of our top-performing RVPs have seen sequential improvement and have their entire regions moving towards being green. The energy and enthusiasm from this process and from the investments we are making toward our people's success is energizing people [ph] in the field. Our challenge and our opportunity is that we need to replicate this momentum in 7,000 salons. And similar to our experience with SuperSalon, these things take time in learning to become efficient. Specifically related to what we have been discussing on organizational development, I am pleased to announce 2 new additions to our leadership team. Jim Lain joins Regis as our Chief Operating Officer and Carmen Thiede is our first-ever Chief Human Resources Officer. We were extremely selective during the search for these positions, and hiring these roles is crucial to our success, and we simply would not settle for anything but outstanding people. We needed to attract leaders, who with own coaching, training, developing and leading our most important asset, our people. I'm confident that Jim and Carmen's deep experience will soon begin to add value across our entire portfolio. The transformational changes we implemented have been disruptive but are necessary to turn Regis around. As you can see from today's earnings release, trends we discussed in our last call largely continued throughout our first quarter. In the first quarter, same-store service sales finished down 3.1% and same-store product sales finished down 14.8%. Our revenue performance in the first quarter is not where I would like it to be, but I'm pleased with our efforts to control expenses. We are seeing pockets of improvement, which provide me with confidence that the strategic changes we have implemented will position us to generate sustainable revenue and profitability growth. And I expect our business performance to improve over time. The key to our success is continuing to improve our ability to execute at the salon level through the development of our field leaders and salon managers, so we consistently deliver a strong guest experience. This will enable the organization to move forward along a strategic path that will result in longer term revenue and profitability growth. With that, I'll now turn the call over to Steve. Steve?
Steven M. Spiegel: Thank you, Dan, and good morning. Before discussing our consolidated financial and operating performance for the first quarter, I want to remind everyone that as a result of our field reorganization, district and senior district leader labor costs are now reported within cost of service rather than G&A expenses, and their travel costs are now reported within site operating expense rather than G&A expenses. We have recasted and posted to our website historical annual and quarterly financial statements to better assist you with your comparisons. For the first quarter, Regis reported close to breakeven earnings. This included net discrete after-tax charges of $0.7 million or $0.01 per share. Excluding discrete items, first quarter diluted net earnings per share, as adjusted, were $0.01 compared to $0.08 in the prior year quarter. Adjusted EBITDA for the quarter came in at $27.4 million, compared to $30.4 million in the prior year quarter. With first quarter same-store sales declines of 5.4% and all other things being equal to the prior year, one would expect diluted earnings per share, as adjusted, to decline by approximately $0.12 per share. Actual diluted earnings per share, as adjusted, declined by $0.07 per share to $0.01 per share. The $0.05 per share improvement is primarily related to cost savings initiatives, cost reductions related to our field reorganization and the fact that we are lacking higher labor costs related to last year's full commission coupon event and retail incentive plan, partly offset by continued investments in salon connectivity, increased health insurance costs and higher depreciation expense. I will discuss these items in more detail shortly. We have included in today's press release as well as in our corporate website a reconciliation that bridges reported results to earnings as adjusted for the impact of discrete items for the first quarter of the current and prior years. Moving on to first quarter operating results, my comments this morning will focus on as-adjusted results. In comparing to prior year numbers, I will be referencing our results as recasted for our field reorganization. Revenue in the quarter of $468.6 million declined $36.8 million or 7.3% compared to the prior year quarter. Same-store sales declined 5.4% compared to the prior year quarter. Year-over-year, total company-owned store counts decreased by 277 locations. During the quarter, we built 30 company-owned salons, closed or relocated 57 other company-owned locations and sold a net 5 locations to franchisees. Service revenues were $371.7 million, a $21.7 million decline or 5.5% from the prior year quarter, mainly driven by declines in North American salons. Compared to the prior year quarter, same-store service sales declined 3.1%, driven by a decline in guest traffic of 5.7%, offset by an increase in average ticket price of 2.6%. The remaining 2.4% decline in service revenues compared to the prior year quarter was primarily due to a net reduction in store counts. Product revenues were $86.7 million, a decrease of $15.5 million or 15.2% compared to the prior year quarter. Product same-store sales declined 14.8%. As Dan noted earlier, we are starting to see signs of trend improvement. Royalties and fees of $10.1 million increased $0.5 million or 4.7% versus the prior year quarter. Our franchisees posted positive same-store sales during the quarter and added 80 net locations over the last 12 months. In the quarter, we added 36 new franchisees to the system. And over the last 12 months, we have added 102 new franchisees to the system. Moving on to cost of sales. Cost of service of product as a percent of associated revenues declined 20 basis points compared to the prior year quarter, coming in at 58.5%. Cost of service as a percent of service revenues for the quarter was flat to the prior year quarter at 60.5%. Negative leverage of stylist hours caused by same-store service sales declines and increased healthcare costs were offset by reductions due to our field reorganizations, reduced labor associated with the full commission coupon event that was not repeated this year and lower levels of bonuses. Cost of products as a percent of product revenues was 49.8%, a decrease of 210 basis points compared to the prior year quarter mainly driven by 2 items: first we lacked the sales incentive program from last year; second we are realizing margin rate benefits from better terms with vendors and reduced clearance activity, both a result of our plan-o-gram initiative. Site operating expenses of $50.8 million decreased by $3.9 million or 7.1% compared to the prior year quarter. The decrease was primarily driven by cost savings initiatives to lower utilities, repairs and maintenance expenses and reduced travel expense due to the field reorganization. In addition, lower volumes reduced our freight costs, and we realized a favorable impact from the timing of certain expenses, including self-insurance reserves related to the prior year. These were partly offset by increased connectivity costs to support SuperSalon and salon workstations. General and administrative expenses of $43.7 million decreased $4.6 million or 9.5% compared to the prior year quarter. About half of this improvement relates to cost-savings initiatives and benefits from the field reorganization. The remaining benefit is timing related. That said, we remain focused on ways to simplify to drive further cost efficiencies. Focusing for a few moments on liquidity. Our September 30, 2013, balance sheet remains strong, and we have $204 million of cash and our business generated about $16 million of operating cash flow during the quarter. In addition, total debt was $175 million, and we have no outstanding borrowings under our $400 million revolving credit facility, which runs through June of 2018. We continue to manage our liquidity to enable the company to invest in the areas needed to stabilize and turn around our business, to service our obligations and to manage the upcoming maturation of our convertible debt. This concludes the financial portion of the call. We would now like to answer any questions you may have. Operator, can you please provide the instructions for the Q&A portion of the call?
Operator: [Operator Instructions] And our first question comes from Lorraine Hutchinson with Bank of America Merrill Lynch.
Lorraine Maikis Hutchinson - BofA Merrill Lynch, Research Division: A lot of initiatives going on, and just stepping back, I wanted to ask, from a customer perspective, what do you think the biggest change will be that the customer will see that will help drive traffic and repeat visits from all of these initiatives that you're working on?
Daniel J. Hanrahan: Good question, Lorraine. This is Dan. I'll take that one, and then if Steve would like to comment, he can. I think the best way to answer that question is to talk about the salons that are executing well, and the ones that I've been in recently that have shown that they can take initiatives that we put in place and grow the business. It's a good quality experience. People -- we're in the affordable, for the most part, we're in the affordable haircare business, where convenience, quality and affordability are important. We need to make sure that we give a very convenient, high-quality and a fun experience. I mean people need to feel good about getting their hair cut with us. And we have found in our best operating stores that they're working to install these initiatives very effectively. And guest leave very happy and satisfied with the experience. And that's what we need to make sure that we instill across our organization. A big part of the reason that we did the restructure and we got to smaller span of control is to provide the kind of positive leadership that we think the salons need to be productive. And what will end up happening as we provide that quality leadership is that the experience will be good, wait times will be lower, attention to detail is there in the experience and then the guest will return.
Lorraine Maikis Hutchinson - BofA Merrill Lynch, Research Division: Great. And have you done any benchmarking of your pricing versus local competitors? And is there work to be done there?
Daniel J. Hanrahan: We've done a lot of work on pricing. We have a pricing organization. So we know what's going on with our pricing and our local competitors who -- we filled a pretty good database. As we've done some work, and we've mentioned this before, as we've done some work around testing pricing, we're in early stages on that. There's some -- I'm not ready to say that we're ready to make wholesale decisions yet, but we've done a lot of work around elasticity and we can see that we have opportunity to change pricing, not necessarily always up, some of it -- some of that opportunity is to take pricing down. We do think that that's a tool that we can leverage. We just want to make sure that when we pull a pricing lever that we've been very thoughtful about it. So we're going to get to -- we're going to give this test enough time before we make any wholesale decisions. And even after we've given that enough time, we'll roll out slowly with any pricing changes to make sure that we, most importantly, don't scare any of our guests away.
Operator: Our next question is from the line of Jeff Stein with Northcoast Research.
Jeffrey S. Stein - Northcoast Research: Dan, a question first on the product side of the business. I'm wondering, do you guys feel comfortable at this point that you've been able to identify the issues that resulted in the large drop. And you did indicate that the trend has improved recently. So I'm wondering if you could give us a little insight into the kind of run rate in comps we're looking at, at the products -- on the product side as we enter the important holiday selling season?
Daniel J. Hanrahan: Sure, let me tell you what we've done. We've done a lot of work. We've got some really smart, analytical people in this company as we've built out the strength -- the analytical strength within our marketing organization, in particular. And we've got a really smart people on our merchandising group that have strong analytical abilities. So we spent a lot of time digging in really, really deep, Jeff, into what happened with the products. One of the things that we didn't talk much about on the last call is when we did this clearance sale, this was 5x larger than any clearance sale we'd ever done in the past. So it was -- this was a big, big clearance sale. And it's -- this is a category that -- it's hard to measure pantry loading, but we do believe that we did get some pull forward on pantry loading. We also looked deeply at promotional schedules. We looked at the detail around what we're doing with the actual resets themselves. We're comfortable that the changes that we've put in place are going to get us where we need to be. We're not at the point where we're forecasting, as you know, any of our -- predicting where any of our results will be. But we do feel like this is something that we're starting to get under control. One of the things we've learned through this process is that when we do anything 7,000x over is that there's going to be disruption. Now we think we've made the necessary changes now that we need to move Regis in the right direction. So we're going to live with the changes we've made. We're seeing the best operators grab them and run with them. And when I'm in salons now, and I'm with our best operators, I see strong retail sales. I see strong service sales. And really, it all comes down to the operators at the field level and the salon level to make this thing go.
Jeffrey S. Stein - Northcoast Research: So the run rate on comps coming out of the quarter, I mean, are you still running down double-digit?
Daniel J. Hanrahan: We're not giving any guidance on that. We're not where we want to be. We're not going to be satisfied with where we are at retail until we see ourselves growing. And I've been in enough salons, Jeff, where I do see us growing. And it's really attention to detail. Lorraine asked that question earlier. And when we provide that kind of attention to detail to our guests, it works. I've heard a great story the other day from one of our regional VPs. He sent me a note, and with this management process we have in place, one of the commitments they had made was to get their retail sales up. They had double-digit growth. And it was focused. So we've made a lot -- we talked a lot about all the changes we've made. And I think the changes were what caused the deterioration, what's going to -- and we've -- I think we've taken all the steps necessary to get ourselves healthy, but what's really going to pull us out of this is good solid execution at retail.
Jeffrey S. Stein - Northcoast Research: Got it. Question on your field reorganization. Just kind of curious what happens when you take, for example, let's say, a supervisor who previously was a hairstylist in the Supercuts salon, and now they're managing a group of salons that include Regis, SmartStyle, MasterCuts. Are there issues with respect to understanding and being familiar with helping to supervise concepts that they're not totally familiar with, and how you're dealing with those issues?
Daniel J. Hanrahan: That's an excellent question. Let me just maneuver that question just to here. We did not -- we kept Regis and the premium salons separate. So if you're in the affordable haircare business, you're just managing affordable haircare salons. So we haven't combined Regis and the other premium brands in this reorganization. We've kept them separate. And the reason we did it is just for the question you asked. We felt like that was a bridge too far to ask the people that had focused on 1 particular brand or maybe a couple of particular brands, to not only take on multiple brands but also to take on the premium brands. One thing we did do as that with our Supercuts business, we worked very hard to make sure that our Supercuts business was in a market because that's our largest chain outside of our Walmart business. We worked very hard to keep them separate. So if we could make it work, then we wouldn't do anything that would create extra expense. But if we could make it work, we had people focused on Supercuts. But, yes, we have done a lot around training. And I think we need to do a lot more to make sure that our people understand all the different brands and how they operate. It is one of the -- as we've done this, it is an opportunity we see for improvement over time as to get a more consistent standard operating procedures across our affordable haircare business, while at the same time keeping the brand integrity of both our SmartStyle business and our Supercuts business. We think both of those are key to keep separate. We've done a lot of consumer research around them. We see that the consumer behaves differently in them, and that there's opportunity for us to improve the guest experience through that research that we've done.
Jeffrey S. Stein - Northcoast Research: Got it. And then 1 real quick question, final question for Steve. Steve, wondering, with all of the puts and takes on the expense side, I'm wondering, can you give us some idea what the annual run rate on cost saves is for fiscal '14 over '13?
Steven M. Spiegel: We don't typically give guidance on what our savings are going to be, but I think safer to say, other than some of the timing issues we referred to earlier in the release and in the scripts, we're probably at or close to those run rates now.
Operator: Our next question comes from the line of Jill Nelson with Johnson and Rice.
Jill R. Caruthers - Johnson Rice & Company, L.L.C., Research Division: Question on traffic. It looks as though it was down over 7% and that was greater pressure than you've seen in the past fiscal year. Could you talk about, maybe, what percentage of your business or your customer only shops products? I wonder if that maybe was a bigger drag on traffic than anticipated.
Daniel J. Hanrahan: We get about -- 20% of our business is product. I can't answer that question specifically. I can direct you to Mark after the call, Jill, and see if we can get a little more detail on that because I don't have that information right at my fingertips.
Jill R. Caruthers - Johnson Rice & Company, L.L.C., Research Division: I guess, could you just maybe talk about the traffic declines accelerated quite a bit from the kind of down 2% to 3% trend -- it trended last fiscal year. If you could maybe give some insight into that?
Daniel J. Hanrahan: Yes. When we made all these changes, a couple of things happened. When -- we have, as we've said that our biggest opportunity is to be able to get our salons to deal with change. And we learned through this process that, that is a challenge for them when we do a lot -- when we make a lot of changes. I believe that the changes we made were the right ones, that we put ourselves in a position to succeed going forward. But those 3 initiatives that we did in the fourth quarter did impact our traffic. If wait times get increased, that has an impact on traffic. If we don't staff the salons properly, that can have an increase on traffic. And as we made a lot of these changes, the changes caused distraction. We're working our way through that, and we believe that as we get through that, that the disruption that we saw in the fourth quarter -- that are in our fourth quarter and our first quarter, is that we can get those behind us. But, as I said, earlier, we've got 7,000 of these salons that we've got to get moving in the right direction. Where we have our best operators, they were able to deal with the changes, and they've actually been able to turn it into increased sales. So it's a question of good strong operators being able to deal with change. And that's where I think that Jim Lain, the new COO that will start next week, and Carmen Thiede, our new Chief Human Resource Officer, are going to add a ton of value because we need to be doing much better training and development than we have in the past, so that we can grow traffic. The other thing that I think is important to note in the fourth quarter and in the first quarter is there were some very, very aggressive promotions last year that we did not repeat that were a drag on profitability. And that also had an impact on traffic. So I hope that answers your question.
Jill R. Caruthers - Johnson Rice & Company, L.L.C., Research Division: It does. And then just last one, in the 10-K filing, you had talked about the GP providing an incentive for stylists to get traction on the first quarter promotion. If maybe you could provide some details around that?
Daniel J. Hanrahan: Yes, we haven't -- what we did is we changed a few things around compensation so that compensation is now driven based off of both the top, the revenue and on the -- and on contribution. In the past, it was only on revenue. We also put some programs together around product that we hadn't done in the past because we wanted to boost our product sales. So the -- we're always running some kind of initiative that will help stimulate traffic. The most important thing we're doing to help stimulate traffic though is this new management process that we put in place that will -- that every week, the salons are making a commitment as to what they're doing against their goals to drive traffic within their particular salons. And most encouraging thing about that is when I walk in a salon now, I can ask the stylists what their commitments are this week to drive traffic. And that's a very positive step in the right direction. And again, it comes back to our best operators at the salon level have taken this program and run with it, and we're seeing increases. Where we aren't seeing increases is because they're not executing as well, and that's a big training and development opportunity for us.
Operator: If there are no further questions, I will now turn the conference back to Dan.
Daniel J. Hanrahan: Thank you, Theresa. Thanks to all of you who participate -- for participating in the call, for calling in. We'll look forward to talking to you again next quarter.
Operator: Pardon me, we do have a followup question from Jeff Stein, would you like to take that question now?
Daniel J. Hanrahan: Sure.
Operator: Okay. There is a question from Jeff Stein with Northcoast Research.
Jeffrey S. Stein - Northcoast Research: Sure, Dan. Sorry to extend the call here, real quick. But staffing levels for holiday. You've got 6 fewer shopping days between Thanksgiving and Christmas, and I would imagine consumers are going to be making fewer trips to the mall and try to get more done. Are you going to be staffing the salons any differently this holiday season as a result?
Daniel J. Hanrahan: We -- we're constantly -- that's a very good question, Jeff. And we are constantly focused on our staffing in every single one of our salons, and we try to stay right on top of it. One of the benefits we have now with the change in structure is we have management in the salons a lot more often than we have in the past. We'll be watching staffing very closely during the holidays. But we're very aware of, as you point out, those 6 fewer days and do potentially see that the strip centers in the malls will have a higher traffic. So we'll be on top of it. One of the beauties of our business is we can get stylists in pretty quickly if we need them in. But our staffing objectives are to be there to service the guests. We've -- and we have given control of staffing to the field leadership. We put the recommendation out there. But we expect them to be managing it, and we're seeing much, much more thoughtful management of hours from the field than we have in the past. So I guess the best way to say that is that we will be very focused on this and keep our finger right on the pulse of what's going on with traffic through the holidays.
Operator: There are no further questions at this time. Thank you.
Daniel J. Hanrahan: Thanks, operator.
Operator: Ladies and gentlemen, if you wish to access the replay for this presentation, you may do so by visiting regiscorp.com in the Investor Relations section of the website or by dialing 1 (800) 406-7325 with an ID number of 4646057#. This concludes our conference for today. Thank you, all, for participating, and have a nice day. All parties may now disconnect.